Executives: Brian Cooper - Chief Financial Officer Rick Gilbert - Chairman, President and CEO
Analyst: Jeff Linroth - Leaving It Better Brian Horey - Aurelian Steve White - RMB Capital Management Madhu Kodali - Yaksha Capital
Operator: Welcome to the Westell Technologies Second Quarter Fiscal Year 2011 Earnings Conference Call. My name is Christine and I will be your operator for today's conference. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Brian Cooper, Chief Financial Officer. Mr. Cooper, you may begin.
Brian Cooper: Thank you, Christine. I want to welcome everybody to our conference call covering the results for Westell Technologies during our fiscal year 2011 second quarter which ended September 30. We issued our earnings news release last night and you can find the copy posted at westell.com. This morning Rick Gilbert and I will update you on the business and our financial results. Before we begin, I'd like to note that our presentation and discussion contain forward-looking statements about future results, performance or achievements financial and otherwise. Words such as “believe”, “expect”, “anticipate”, “estimate”, “plan”, “trend” and similar expressions are intended to identify such forward-looking statements. These statements reflect management's current expectations, estimates, and assumptions. These forward-looking statements are not guarantees of future performance and involve risks and uncertainties that may cause Westell's actual results, performance or achievements to differ material from those discussed. A description of factors that may affect our future results is provided in the company's SEC filings including the Form 10-K for the fiscal year ended March 31, 2009, under the section "Risk Factors." The forward-looking statements made in this presentation are being made as of the date and time of this conference call. Westell disclaims any obligation to update or revise any forward-looking statements based on new information, future events or other factors. I would like to turn the call to Rick Gilbert, Chairman, President and Chief Executive Officer of Westell.
Rick Gilbert: Good morning. Thank you for joining Westell Technologies second quarter fiscal 2011 earnings conference call. I am Rick Gilbert, Westell's Chairman and CEO. During this call, I will discuss developments in the business and then turn the call over to Brian Cooper who will discuss the second quarter financial results. At the end of the call Brian and I will answer the questions. I am pleased to report that our second quarter results show increases in revenue, earnings, and cash flow with all three business units contributing positive operating income for the first time during my tenure at Westell. During the second quarter, we recorded earnings per share of $0.07 on a fully diluted basis, an increase of $0.03 over our EPS for Q2 of last year. Our consolidated revenue increased by 8% compared with Q2 of last year. Consolidated gross margins of 32.3% combined with flat operating expenses yielded an improvement in net income of 65% versus Q2 of last year. During the quarter, we also produced $8.3 million increase in cash and cash equivalents to $70.1 million, which represents more than a $1 per share. I will focus the rest of my comments in the second quarter performance of our business units as compared with their performance during the last quarter. When compared to last quarter, Customer Networking Solution has experienced a 64% increase in revenue, which was driven by very strong demand for our VersaLine gateways coupled with increased segments of our UltraLine Series 3 products. As I said it in our last call, we'd expected that in the short-term CNS which increased, but less profitable sales as we continue to clear out remaining inventories associated with End-of-Life products such as certain skew variance of our UltraLine Series 3. With that, this is exactly what occurred in the second quarter with sales of $5.6 million of UltraLine product having the effect of reducing CNS gross margins from 23.9% in Q1 to 16.3% in Q2 despite good margins on VersaLine products. However, with extent is also down CNS finally produced a positive operating income of $151,000 for the quarter versus a loss of $437,000 last quarter. This was an important milestone for CNS. On the strategic front Home Cloud project continues in the development phase. During the quarter, we added a few new hires to increase staffing for the program. We received our first prototype hardware units from our contract manufacture and have made good progress developing the primary components for the software system. At this time, we expect the initial Home Cloud product to be ready the trails by late Q1 of FY 12, which represents a delay of about three months from our initial plan. Outside Plant Systems had another great quarter with revenue slightly up over the last quarter and operating income up by 16%. The business continues to be driven by strong sales of our T1 SmartJack network interface units with associated mountings enclosures related to the backhaul of cellular traffic. On the strategic front, OSP which has received very positive customer feedback on the [e-Smart] accessed product lines which are the Ethernet based backhaul products that I have described in previous calls. The first two e-Smart access projects have already reached the testing stage and are on schedule for customer availability late in this fiscal year. Conference Plus experienced another predictable quarter with essentially flat revenues and slightly decreased profits when compared to last quarter. We had expected these results and hope to see increased conferencing minutes per day during the fall quarter. In summary, Westell has experienced an outstanding first half of the fiscal year by recording a total of $0.14 of EPS during the first two quarters. My team here at Westell still has concerns about the general state of the economy, which are reflected in our conservative attitude towards cash management and incremental investment. We are also entering the season in which some of our customers tend to manage their year in the inventories and prepared for a slowdown and slight construction due to winter weather. That said, we have good momentum in the business. Our outlook toward both near-term and long-term business prospects remains upbeat and I believe all three business units will achieve solid results in Q3. With that, I'd like to turn the call back over to Brian Cooper who will discuss our financial results before we open the call for questions.
Brian Cooper: Thanks, Rick. I will focus on our financial results for the fiscal second quarter. As already noted, our earnings press release is posted on Westell's website. The release contains further information in detail including year-to-date results in addition to the numbers I'll discuss. As Rick mentioned, we had a very good quarter across the board. With higher revenues, significantly higher earnings and higher cash balances. Compared with the fiscal second quarter of FY '10, consolidated revenues were up 8% and net income was up 65%. Earnings were $0.07 per share versus $0.04 in last year's second quarter. Cash and cash equivalents got to $70 million, up $8 million during the latest quarter and up $16 million during the last 12 months. Focusing on revenue, the consolidated total for the quarter was $51 million, up 8% compared to $41 million in Q2 a year ago. Revenue was also up on a sequential basis from $41 million in the quarter ended June 30, 2010. The largest change in the year-over-year comparison is a 24% increase in revenues from Outside Plant, which continues the benefit from strong demand for product supporting the backhaul of cellular traffic. CNS and ConferencePlus were each up slightly. It is notable that CNS reported UltraLine Series 2 revenue of $5.6 million during the quarter. Although, that is up the same amount as in last quarter's second quarter, revenues for that product had been relatively volatile. Demand for CNS's gateways has continued to increase. Consolidated gross profit for the quarter was $16.5 million, up $1.9 million compared with a second quarter of last year and gross margin was 32.3% compared with 30.8% last year. Outside Plant gross profit was $7.3 million, up $1.8 million or 34% increase compared with the year ago quarter. Outside Plant gross profit obviously benefited from higher revenues and it's gross margin was up as well. Gross margin was 45.5% compared with 42.0% in last year's second quarter as a result of positive product mix. CNS gross profit of $4.0 million was down $0.2 million year-on-year on a gross margin of 16.3%. The margin was down from 17.5% in the same quarter a year ago. This included a further reduction in the already low margin for the UltraLine Series 3 product line. There were no software project revenues to help those margins during Q2. ConferencePlus gross profit was $5.1 million, up about $0.2 million, and gross margin improved the 49.7% in latest quarter from 47.6% in the prior year quarter as a result of lower telco costs. On the expense side, consolidated operating expenses were $11.5 million during Q2 about the same as in Q2 a year ago. Outside Plant increased its spending $0.5 million reflecting the business unit’s higher sales and its R&D investment in Ethernet-based products for cellular backhaul. CNS continues to reduce operating expenses, which were down about $0.6 million compared with Q2 a year ago in spite of increased investment in the Home Cloud initiative. ConferencePlus expenses were steady increasing about $100,000. Looking at operating income, all three business units showed the improvement over the year ago quarter. Outside Plant reported operating income of $4.3 million and ConferencePlus improved to $1.1 million. On top of that, CNS reported operating income of $151,000, a positive result for the first time as a separately reported business segment. Operating income was up $1.9 million higher than in Q2 of last year. It was $0.9 million higher than in our strong performance in Q1 this year. As a result, net income for Q2 was $4.8 million or $0.07 per share that compares against $2.9 million or $0.04 per share a year ago. It also compares with EPS of $0.07 in Q1 of this year. Moving on to the balance sheet, cash and equivalents increased by $8.3 million during the quarter. We explained on our last call that an increase in working capital had limited cash bill during Q1. That affects largely reversed during the second quarter. Share repurchases during Q2 utilized only $0.2 million of cash to acquire about 110,000 shares. As of September 30, there was $9.4 million remaining for share repurchases under existing board authorization. With that overview of that quarter, we are ready to open the lines for questions. Christine?
Operator: We will now begin the question-and-answer session. (Operator Instructions). The first question comes from Jeff Linroth from Leaving It Better. Please go ahead.
Jeff Linroth - Leaving It Better: It just sound like that portion of the things went as expected in the past quarter. What would certain is the most significant upside surprising and on the down side as well if you had any surprises?
Rick Gilbert: I don't really think we had any downside surprises in the last quarter. In fact the last two quarters have been very, very strong for us. The upside surprise perhaps is the strength of the continued strength of the cellular backhaul market, which is continues to be extremely strong for us. I am very happy with the new product lines that are being introduced in Outside Plant and the customers appeared to be very excited about those as well. So, we think we are on the right track on Outside Plant. So, again our Outside Plant are two fantastic quarters. I do not want the CNS performance to be overlooked either. CNS has been driving for a longtime to see some positive operating profit and they did it. It's a great performance by them, especially given the fact that they are involved in the businesses that’s really a commodity business and it is a difficult business, but they have been running it extraordinarily well. Generally Jeff, I think upside in those two divisions and as expected frankly the conferencing division during the summer months pretty much with the performance we'd expect.
Jeff Linroth - Leaving It Better: Great, especially the CNS result is certainly a breadth of fresh air (inaudible). Looking to the future of OSP product at least to say over the next 12 to 18 months, do you expect it to be over time steady or would you expected to be more in steady flow rather than a bunch old ones and then a break [in the 20]? In terms of product, this OSP over the next and either 12 to 24 months?
Rick Gilbert: I mean if you're saying I do expect the divisional operating profit to rise by 45% on a 24% increase over the prior year on a continuous basis, the answer is no. Those have been fantastic performances. Do I expect the momentum in Upside Plant to continue, the answer is absolutely yes. Is there anything that can affect that over the near term or long term, the one thing about Outside Plant which you guys are aware off because I talked about it in previous calls, is that there is some level of seasonality to the business due to site construction. Any bad winter weather you don't do as much site construction. The momentum, the products, the customer wins continue to be very strong and we expect a healthy business affected slightly over the year by some seasonality.
Brian Cooper: Jeff, if you're talking about the new product introductions, I think from that perspective we are very excited about the new products that we're going to see rolling out. The way the market were sometimes that will take a little slower, and it is not a sudden jump as more of the ramp up in terms how the customers products and they will do projects and we’ll win a project at a time, but we are very excited about those.
Rick Gilbert: The other nice thing about the new product, Jeff, is that they are backward comparable with the systems that are in the field. So, somebody wants to switch from T1 TDM backhaul to Ethernet they can simply plug in these cards to the existing field installs which and we have quite a lot field install right now. So, it's a wonderful piece at base and the customers can move at their choice. We don't care. They buy a network interface one way or the other, whether its a T1 or Ethernet.
Jeff Linroth - Leaving It Better: The Home Cloud product that you referred to this now a consumer looking at first fiscal quarter 2012, is that a single product or is that a many small family product?
Rick Gilbert: The initial (inaudible) is a single product with a particularly complicated application on it, but it has the ability to have other applications on the hardware. So, the hardware is a single piece of hardware, it’s an application platform introduced with a very interesting application. Remember, it sounds like FY '12 long ways away, but with our schedule that's essentially June of 2011. So, they're making very good progress. The team is pretty well staffed now and they're doing a great job, it's just to do this right way and we want to do it exactly right. We want to take the time we get it perfect.
Jeff Linroth - Leaving It Better: That product, about it's gross margin, would you say that it would be in the upper half or the lower half above or below the midpoint of your entire family of products. The gross margin would experiencing today in aggregate? You say that product is above or below that middle line?
Rick Gilbert: I say above.
Operator: The next question comes from Brian Horey from Aurelian. Please go ahead.
Brian Horey - Aurelian: On CNS, are you how optimistic or you about the potential for kind of further profit improvement there? There remained a lot of progress, but I think there is more just to be squeezed out of a how they launch?
Rick Gilbert: Brian, it's a great question. As I've said before, CNS is a commodity product so it's driven by manufacturing prices, commodity prices, and by the buyers willing us to pay. The good news is that we have customers out there that are asking for additional features on the products. So when you add features to the products you have the ability to introduce a new product with a different margin. Over time, there is margin compression and strong competition. I think CNS has done a great job in doing sort of jump shift in margin over the last two years. Again, I don't think will be able to see that same rate of improvement in margin because of the nature of their products. That said, one of the things that the CNS team has done an extraordinarily good job of his again migrating out of the low margin business, focusing on the high margin business. One of the things that we didn't give as a statistic and I don't know the exact number of the top of my head, but the VersaLine product, which is obviously the smart modems, the want to be love the sell, year-over-year has increased by more than 60%. While the modem products the dumb modems, the real low margin ones, are dropping off in favor of VersaLine. That's the kind of trend that the CNS people drive. They have seen very good sales of VersaLine product both the existing customers and frankly excellent sales with our new customers as well. So, we’re happy with that. The very long answer to your question is will we see dramatic increases in margin as CNS, not until we can introduce something where we can see large volumes of software-based revenue, and that’s where the Home Cloud is.
Brian Horey - Aurelian: Moving on to the OSP, I’m curious whether you feel like your visibility into the next few quarters in terms of the revenue stream has increased in our sale in the last 90 days?
Rick Gilbert: Yeah, I mean we have a reasonable visibility relative to Outside Plant because the ongoing stream in the business is based on as I said strong momentum in the wireless backhaul sector and that’s where most of our business comes from. The part where earlier again in a quarter where we’re historically there is inventory control and getting ready for the winter construction season. How big that effect is on year to year basis is very hard to predict and certainly this early in the quarter its hard to predict. We’re pretty confident frankly that the Outside Plant business is going to be very strong.
Brian Horey - Aurelian: With respect to the ethernet product can you try to quantify what additional opportunity you thing that opens up in terms of available market, for you all when that ships?
Rick Gilbert: Sure. The approach taken by the upside plant group on the Ethernet product was to build carrier crafts, very high core quality roughed Ethernet gear and in small physical packages that would be backward to compatible to the cabinets where we have in the field. They put a whole line together of products which frankly has several additional products that would be coming out but the first two products our switch and the smart jacks that go together to make a very nice internet back offer for cellular traffic. The good news about that is that it can be sold into not just a copper based carriers, but any one who is doing wireless backhaul including some of the cable operators for instances. So, it’s a it’s a very wide target for us. Even better news as I said in the earlier calls we have been trying to keep our customers very closely integrated with a design of the product and in my career I’m not sure I would have actually seen such positive feedback for a new telecom product as I have seen for this one. So, it gives our customers a set of very wide choices of how to do backhaul. They’re very happy with the Westell solutions that it exist, but this coupled with the new Ethernet products really solidifies our position and allows possible expansion further back in the backhaul designs. That said, hard end Ethernet gear has other applications beside just sell your backhaul. You know it has applications in utility market’s applications anyway you need a hard end switch and our team house people is looking at exploiting this opportunities as well either through attract sales or more looking through increased distribution channels and we already have a good relationship with the number of distributors.
Brian Horey - Aurelian: Do you have estimated for the number of lines that have been put into serve wireless backhaul? At this point how many roughly what share Ethernet has versus copper?
Rick Gilbert: The Ethernet shares is still fairly small versus copper. Again, in my experience carriers take very, very long time to make a change and some thing that works, but when they do make the changes it happens quickly. So, the important thing for us is to be ready for what product that works at the time when they are ready to make a change. An interesting aspect in your question is, can I predict exactly what the percentage would be copper versus Ethernet on quarter on quarter basis will they go up absolutely not. Can I predict well what would have happened if we didn’t have the Ethernet, get ready and absolutely. Now that we’re here we have it ready here we’re very confident that the market segment within gives us gives us an even stronger position.
Brian Horey - Aurelian: Just from a timing standpoint, I would imagine that we probably still couple of quarters away before the revenue stream from that product line becomes material in any respect I mean, you (inaudible) put in the lab and keep it higher sort of speaking would be a key force before that shows up as a revenue item?
Rick Gilbert: That’s exactly right and so we don’t expect material revenue for several quarters on that product. That said, the good news is not like we’re losing sales because of that they’re buying T1s instead. When the product kicks in it kicks in. That’s the way it is designed.
Brian Horey - Aurelian: Two quick questions on Conference Plus you sound it like you’re a little bit more optimistic than in prior quarters about a revenue uptick there and curious about that? Also it looks like the OpEx for that given it was up a little bit relative to last three four quarters and curious if you can offer color on that?
Rick Gilbert: Not a lot. Conference Plus is obviously in a very challenging business area the whole conferencing area in general is not just conference plus. The good news from my perspective is Conference Plus is being run in a way that’s a bit very predictable certainly in terms of its profit contribution and we do hope to see some higher minutes per day in this quarter. That said we have a lot of holidays in this quarter as well and you see zero minutes per day on holidays. So, you got to integrate all that together. I would say if I were asked to predict exact performance on divisions they are devious to predict and in many ways goodness.
Operator: (Operator Instructions) The next question comes from Steve White from RMB Capital Management. Please go ahead.
Steve White - RMB Capital Management: Rick, you joked before about not lying to become the Bank of (inaudible). I have noticed that the First National Bank of Naperville, Valley Community Bank, Second Federal Savings and Loan, Oak Trust Credit Union and Wheatland Bank were all in Aurora have less equity capital than you have cash in your bank account. So I was very surprised to see the share count up quarter over quarter. I was wondering if you could provide a little bit more detailed on what drove your decision not to purchase more stock, and what this means for the future?
Brian Cooper: Steve, we are interested in buying back shares and we operate through 10b5 plan which we do not tinker with too frequently and we probably being doing (inaudible) on that and as we were in the last quarter. So, we would like to buy some more shares in and we just didn’t. We were too conservative.
Steve White - RMB Capital Management: I am a little surprised to hear that given Rick on your comments regarding OSP just on the call today saying that you got pretty visibility there and you feel very confident about the business. When you combine that with the fact that the stock is about half the market capital in cash and it looks like we are trading about 8 times free cash flow or something like that, what do you guys think is the right time? The stock keeps off (inaudible), is there something that they are waiting for? Is it possible that if liquidity is the concern would you ever consider doing some kind of Dutch tender or something like that?
Brian Cooper: If the critique is were too conservative on buying back stock that it is a valid criticism, I mean we think we were too conservative as well. That said, I think we also spent most of our time focusing on the business versus how much of the other stock we buy back. I will say that the other thing that concerns me and I mentioned in the formal remarks and concerns rest of the team is the general state of the economy still, and cash is important in this environment. Balancing our conservative view of where the economy is with hope of probably a less conservative position and actually going out and getting our stock back, what happened then we bought a lot less than we would have liked to buy last quarter. We set the 10b5 parameters, we let the 10B 5 plan run and we went to run our business and you know I am sure there will be discussion with the board relative to what we do going forward. I can’t even predict when those things will come out but I am sure there are board members who also think we were more conservative than we should have been.
Rick Gilbert: It is a valid criticism Steve. I do not know what else to say.
Brian Cooper: Steve, we understand what you are asking about the Dutch tender. Obviously that is the way to move a lot faster. We prefer to have the flexibility of an open market program but that is something we can discuss at the board as well as some at the right time.
Operator: The next question comes from Madhu Kodali from Yaksha Capital. Please go ahead.
Madhu Kodali - Yaksha Capital: On the CNS I was wondering if you have taken up any new customers in the last quarter.
Rick Gilbert: Not specifically in the last quarter but remember CNS primarily sells to larger copper based carriers and we are the only vendor I know of in our space that sells to all four of the largest carriers in the US and that includes AT&T, Verizon, CenturyLink and Frontier. The real question is have we increased our market share with those people over the last quarter, have we increased our sales volumes with those people, and with several of those behalf.
Madhu Kodali - Yaksha Capital: So, have you increased the market share across all these customers?
Rick Gilbert: Yes, yeah, we have increased our sales with several of those customers I just mentioned. You can’t just produce another AT&T because they don’t exist, right, I mean you don’t have the big eyes. We don’t focus. We are seeing as we do not focus on small IOCs because the subscriber counts are too smalls of that to justify the expanse.
Madhu Kodali - Yaksha Capital: Coming back to that HomeCloud products that you have been developing, have you seen any progress, do you have a completed product, are there any trials going on at this point?
Rick Gilbert: No, as I said the initial products will be ready for customer trials in approximately June of next year. The, in terms of the product, where we stand right now is the first prototypes are in our hands and looks great. The software foundation services have been developed and are being tested by the development team and we still have a lot of work to do before we put the whole thing together as a final available package. I’d say from the beginning of the program, we’d hope to be about three months ahead of where we are, right now, but we are now still pretty happy with the progress. It’s a complex product and we want to get it, as I said, exactly right.
Madhu Kodali - Yaksha Capital: Right and how many resources, how much have you been investing into them?
Rick Gilbert: We’ve been able to redeploy some resources from other areas in CNS and we have done some hiring in the Home Cloud area. I believe the total amount of people dedicated to Home Cloud is between 12 and 15.
Madhu Kodali - Yaksha Capital: One last question on that, given that it’s a complex product, I would imagine you must be working with a few other software partners to integrate their products into your end product. Is that a fair assumption?
Rick Gilbert: On the initial instantiation of the product other than using certain open source software sources and not, obviously not reinventing the real on stuff that exists out there, the primary software is developed by Westell, okay, on the initial instantiation. That said, we have had some discussions with other software vendors in terms of possibly putting their applications on the same platform in the future. There are very initial discussions.
Madhu Kodali - Yaksha Capital: One last question from me, do you have a geographic breakdown in terms of revenue and how is international markets doing, you’re looking into expanding at all?
Rick Gilbert: Our international exposure is primarily with our conferencing business. We have an operation over in Europe, it does quite well. It’s still small even relative to our conferencing business. We are predominantly North American focused and have limited opportunities, I think for some of our equipment outside the US.
Operator: (Operator instructions)
Brian Cooper: It looks to me at this time we have no questions queued. I like to thank everybody for joining us for the call. We will he here next quarter for our next report. Thanks very much. Bye.
Operator: Thank you for participating in Westell Technologies second quarter fiscal year 2011 earnings conference call. This concludes the conference for today. You may all disconnect at this time. 